Operator: Good afternoon and welcome to the Equinix conference call. [Operator Instructions] Also, this call is being recorded. If anyone has objections, please disconnect at this time. I'd like to turn the call over to Ms. Katrina Rymill, Vice President of Investor Relations. Thank you. You may begin.
Katrina Rymill: Good afternoon and welcome to today's conference call. Before we get started, I would like to remind everyone that some of the statements that we'll be making today are forward-looking in nature and involve risks and uncertainties. Actual results may vary significantly from those statements and maybe affected by the risks we identified in today's press release and those identified in our filings with the SEC, including our most recent Form 10-K filed on February 25, 2011. Equinix assumes no obligation, does not intend to update or comment on forward-looking statements made on this call. In addition, in light of regulations fair disclosure, it is Equinix's policy not to comment on its financial guidance during the quarter, unless it is done through an exclusive public disclosure. In addition, we'll provide non-GAAP measures on today's conference call. We provide a reconciliation of these measures to the most directly comparable GAAP measures and a list of the reasons why the company uses these measures in today's press release on the Equinix IR page at www.equinix.com. We'd also like to remind you that we post important information about Equinix on the IR page of our website. We encourage you to check our website with the most current available information. With us today are Steve Smith, Equinix's CEO and President; Keith Taylor, Chief Financial Officer; and Jarrett Appleby, Chief Marketing Officer. Following our prepared remarks, we'll be taking questions from sell side analysts. In the interest of wrapping this call within an hour, we would like to ask these analysts to limit any following questions to just one. At this time, I'll turn the call over to Steve.
Stephen Smith: Thank you, Katrina. Good afternoon and welcome to our first quarter earnings call. I'm pleased to report that Equinix delivered strong financial results in Q1, exceeding expectations across all of our key financial metrics. Revenue was $363 million, up 5% quarter-over-quarter and 46% over the same quarter last year. Adjusted EBITDA was $167.3 million for the quarter or a 46% adjusted EBITDA margin, ahead of our expectations. Our net income was $25.1 million, up 77% over the same quarter last year. Bookings during the quarter were solid across all three regions. The pipeline is very healthy, with later-stage opportunities from each of our industry verticals, with particular strength from cross order deployment. Equinix demand continues to be strong globally and pricing remains firm across the regions. Our Equinix platform positioning is resonating with customers. There has been significant growth for multi-site customers in the past 12 months. We now have over 73% of our Monthly Recurring Revenue coming from customers deployed in multiple metros and 53% of our recurring revenue coming from customers deployed across multiple regions, highlighting our unique offering. Our customers are using our ecosystems to sell to their customers in our IVX, a network and platform effect that is resulting in interconnection growth. Before we get into more specifics on the quarter, I would like to take a moment to express our sincerest empathy to the victims of the northern Japan earthquake and tsunami. I'd also like to thank our entire Tokyo team for their incredible dedication and teamwork during such a difficult time. Although two of the nine Japan cable landing stations were impacted, there was no interruption in our data centers or network services, which couldn't have been achieved without the utmost diligence from our Tokyo team. The construction of our Tokyo 3 IBX remains on budget and on schedule to open in the June timeframe. We are watching the developments in Japan closely, with contingency plans in place in the event of power disruptions from rolling blackouts that may occur. Equinix continues to win in our markets as highly interconnected premium data center space has high demand around the world. Our next wave of growth and differentiation will be driven by expanding our Global reach and scale, deepening and developing ecosystems, increasing interconnections, expanding our sales force and ultimately implementing Global processes' systems. We are expanding Platform Equinix and this week, we extended our reach into South America by acquiring a controlling interest in the ALOG Data Centers of Brazil for approximately $83 million. ALOG is a leading carrier of info colocation provider in Brazil that serves over 1,000 customers in its two data centers, in São Paulo and Rio de Janeiro. In 2010, they generated over $50 million in net revenues and have been growing at over 25% combined annual growth rate for the past three years. This investment into Brazil will allow Equinix to satisfy strong demand from our network, content, file [ph] and financial service customers looking to establish a presence in this rapidly growing market. ALOG is currently completing Phase 1 of a third new data center in São Paulo and we have already seen strong interest from Equinix's customers to expand in the ALOG facility. This investment will provide capacity as we expand in South America and will increase our reach to 95 data centers and 37 Global markets, representing the fifth continent with an Equinix presence. We are creating a differentiated Global brand that combines our highly reliable IBXs, global footprint and well-developed industry ecosystems into an integrated offering which is not available from our competitors. On top of Platform Equinix, we are building rich ecosystems to support the global digital supply chain. We're also developing new ecosystems, including cloud and mobility and I would like to review the opportunities and the success we've had in these. Cloud and IT services present significant upside for Equinix. Today, we have over 240 cloud providers and over 400 IT service providers across Platform Equinix. There is strong growth in public cloud deployments, particularly service access nodes and we see enterprises shifting to private cloud deployments for certain applications. Virtualization is also fueling cloud growth, shifting deployments from in-house environments to outsourced colocation deployments across our IBXs. Slide 4 shows the infrastructure evolution of cloud market architecture. Cloud services that are initially deployed from a centralized location run into performance degradation issues as their services are adopted and deployed at a global level. Cloud services need to be deployed with optimal geographic distribution and direct proximity to end users. The value plays and application performance, service level agreement and the end-user experience for cloud services make Platform Equinix well-positioned to support these services. Equinix offers a regional and global scale in highly networked environments that are required to deliver a high-quality end-user experience, as well as the reliability and security necessary for these outsourced deployments. If you turn to Slide 5, we are seeing cloud ecosystems developed on Platform Equinix. Managed service providers, systems integrators, application infrastructure and platform service providers are deploying a variety of cloud services at Equinix. Within our IBXs, in marketplaces, services is developing as these providers connect the vendors of storage, computing, content, networks and others to provide a comprehensive Cloud Solutions to customers, ultimately resulting in interconnection growth for us. Managed service providers and systems integrators, such as Carpathia, also provide a new channel to market the cloud space, and increasingly use Equinix IBXs to deploy their offering. In April, we announced a collaborative effort with Rackspace and Dell to launch a demonstration and test environment to help accelerate the adoption of OpenStack, one of the leading open-source cloud platforms in the market. This collaboration is the first of several cloud environments we are enabling on Platform Equinix. Another ecosystem where we have traction is mobile. Wireless is another form of access technology and Equinix always benefits from new ways to connect to the Internet. Mobile usage is skyrocketing and mobile traffic is predicted to double every year through 2014. Whether it's smartphones, tablets or laptops, all of these devices are placing more bandwidth demand on the Internet to Equinix's benefit. Wireless towers are the aggregation point for mobile traffic which is then transferred to Wireline Networks that connect inside of Equinix IBXs. Residing within our IBXs in creating our mobile ecosystem are some of the most popular mobile applications of providers of mobile backhaul, enabling services for mobile billing, messaging and interoperability, essentially the mobile value chain, which is shown on Slide 6. Equinix's mobile ecosystem has a diverse mix of customers in all aspects of mobile enabling and our customer base has close to 100 pure plays and over 150 adjacent customers that are operating in our IBXs today across these categories. Four of the top five U.S. smartphone platforms reside in our data centers, the foundation for providing functionality to their operating systems. A few examples of functions enabled at Equinix are backup of user data and profile information, the download of mobile applications and operating systems updates. Also, 3 of the top 5 mobile OEM-enabled services for handsets at Equinix by accessing value chain partners, such as social media sites, cloud services, PDMs [ph] and streaming media. Our ecosystem of networks, cloud services, content and applications form a rich environment for achieving high performance and reducing costs for mobile companies. The growing mobile market is finding new businesses and applications, which require data center space and connectivity. We are actively targeting these new companies, including mobile advertising and location awareness, the storage for digital assets and video broadcasting. Slide 7 shows the ongoing evolution of mobile infrastructure. Mobile today looks like Wireline did 12 years ago, with the majority of traffic being routed over long-haul network, creating massive inefficiency. The deployment of 4G technology, such as LTE and WiMAX, will exponentially increase mobile traffic and place tremendous strains on existing wireless networks over the next few years. More spectrum at the edge will require significant increases in bandwidth to the wireless towers and between networks and, ultimately, to popular content applications to ensure a positive end-user experience. With the massive increase in mobile traffic, the old architecture will be difficult to scale. Instead, traffic will need to be exchanged locally in local metros to ensure mobile users are as close as possible to content and applications to alleviate congestion. We believe the mobile architecture will evolve to look like traditional Wireline access backup, utilizing our IBXs for IP traffic exchange, while performing and scaling issues. Although this is still early in the cycle, mobile network operators are beginning to directly tier in high-traffic destinations at Equinix sites. And we believe this trend will gain momentum with the rollout of 4G. Equinix's distributed footprint enables better network performance, lower cost and scalability as traffic grows. Some of the Tier 2 locations acquired through Switch and Data will be critical for both mobile and cloud customers to deploy a distributed architecture at the metro level to localize traffic. To pursue the growth across all of our industry verticals and ecosystems, including new wins such as cloud and mobile, we are also expanding our sales engine around the world to increase our market coverage of accounts. We have made significant progress in our sales hiring program in Q1 and expect to substantially complete our sales force expansion by Q2. I'm also very pleased with the quality of the team that we are bringing on board. The new global account management team is in place and we are better aligning our sales team with our customers' industry segments. We are changing the sales conversation with our customers from just data center space, power and interconnections to selling at a business and application performance level. We have also launched our Channel Alliance program with partners, such as Carpathia, Dell and Rackspace, and will broaden our reach in 2011 with additional partners. Sales force expansion is really about preparing for growth in 2012 and 2013 as we continue to raise our revenue goals, target new business across our vertical markets and more fully leverage global advantages of Platform Equinix. Let me stop there and turn it over to Keith to provide the results for the quarter.
Keith Taylor: Great. Thanks, Stephen. Good afternoon to everyone on the call today. I'm pleased to provide you with a review of our first quarter results, including an update of the regional performance. Additionally, given the strength of the first quarter, I'll take this opportunity to highlight some of the one-off and nonrecurring benefits we experienced over the quarter, essentially providing you with a normalized set of key performance and operating metrics. Starting on Slide 8 from our presentation posted today, our financial results for Q1 exceeded expectations across each of our key financial metrics. Global Q1 revenues were $363 million, a 5.2% quarter-over-quarter increase and up 46% over the same quarter last year, above the top end of our guidance range. Our quarterly revenues included about $4 million of one-off or nonrecurring benefits in the quarter. For the quarter, foreign currencies continued to be volatile. We have positive revenue benefits of about $1.5 million when compared to the average rates used in Q4 and about $1.2 million when compared to the guidance rates used. On a normalized basis, our revenues would've been approximately $359 million quarter-to-quarter. And then taking into consideration the $2.8 million goods resale in EMEA last quarter, our normalized revenue growth would've been 4.8% above our expectations. Also, it's worth noting, our backlog. The contractual bookings not yet billings at the end of the quarter saw meaningful increase relative to our prior quarter level. On a regional basis, each of our operating units performed better than expected, with particular strength in the Americas. Also, pricing remains firm across each of our markets. For Q1, Global MRR churn, including Switch and Data, approximated 2.4%, lower than the consolidated churn reported over the prior four quarters. We continue to remain confident that churn will moderate downwards over the next 3 quarters of the year and should approximate an average of 2% per quarter or about 8% for the year. Global cash gross margins came in at 66% in the quarter, ahead of our expectations. We benefited from lower-than-expected utility, repairs and maintenance and real estate tax expenses, in part due to a $1.5 million one-off benefit attributed to power rebate and tax refunds, as well as lower than planned salaries and benefits expense. Some of the costs related to the lower spend in Q1 will be rolled into Q2 and the rest of the year. Offsetting our strong performance was expansion drag across our three regions. For the quarter, the net cost attributed to certain expansion projects totaled $3 million. Global cash SG&A expenses were less than planned at $73.1 million for the quarter, reflecting a slower than expected uptake in our hiring program across many of the functional areas. Global adjusted EBITDA was $167.3 million for the quarter, an adjusted EBITDA margin of 46%. Again, better than we expected. Adjusted EBITDA on a normalized basis, after taking into consideration the nonrecurring or one-off benefits previously noted, would have been about $162 million, including an FX benefit of $500,000 in the quarter. Our global net income was $25.1 million and we generated $0.53 per share on a diluted basis. Net income includes an FX unrealized gain of $1.6 million related to our Brazilian real hedge that we put in place to fund our portion of the ALOG acquisition. In total, we'll recognize a gain on our hedge of about $2.8 million and as of this week, it's been fully realized. In the quarter, U.S. dollar weakened against all of our operating currencies with the recent movement in our key operating currencies adjusted the Q2 guidance rate to be $1.45 to the euro, $1.64 to the pound, SGD $1.25 to the U.S. dollar. Our updated global revenue breakdown by currency for the euro and pound is 14% and 8% respectively and the Singapore dollar represented about 6% of our Global revenues. Now, I'd like to take a quick review of the regional results in the quarter, including a bit of color on the nonfinancial metrics. And just to note, starting this quarter, given the close of the ALOG acquisition, we've now updated our regional naming convention to the Americas, EMEA and Asia-Pacific. So now, please turn to Slide 9. Americas revenue grew 5% quarter-over-quarter to $232.5 million. Cash gross margins were 70%, up over the prior quarter. Adjusted EBITDA was $113.5 million, a quarter-over-quarter increase of 11% driven by improving gross margins in part due to the tax refund utility rebate noted previously. Also, our Americas hiring plan, although progressing well, is behind and as a result, lower-than-expected spend in the quarter. America cabinet's billing increased by over 2,000 in the quarter to 36,800, a significant increase over the prior quarter and reflects the strong bookings we experienced over the past several quarters. As noted previously, a portion of the booking activity remains in backlog and will be converted into revenues over the next 3 quarters. Equally important though, our pricing remains firm in the Americas. We remain comfortable with our pricing in each of our markets recognizing pricing will vary from market to market, vertical to vertical and customer to customer. We remain focused on attracting the right customer with the right application into the right IBX. This ultimately supports our ability to obtain the appropriate pricing for each of our IBXs. Also, as noted on the last call, we remain very comfortable with our pricing levels. Although we should expect MRR per cabinet to ebb and flow from the current levels, some of the factors affecting this metric may include a number of our services per average cabinet or the installation interval of these services, the number of cross-connects or other interconnection services attached to the cabinet, or simply fluctuations in foreign currency. During the first quarter, our Americas cross-connects increased by 1,527 over Q4, and interconnection revenues remain at 21% of recurring revenues. Our financial ecosystem is fueling rapid cross connect growth in the New York Metro, which is now the largest metro for total cross-connect volume. As part of this success today, we had two expansion projects in the region. New York-5 [ph] and Phase 2 of our Chicago-3 IBX. These planned expansions are in response to strong demand across these markets. Finally, as mentioned in the prior earnings call, we'll stop providing detail in Switch and Data financial and operating metrics after this earnings call. Given our brief comments on the Q4 call, we wanted to close the loop and give you a quick update. We're pleased to report that Switch and Data revenues increased to $60.3 million for the quarter, with booking activity in virtually all of the Switch and Data IBXs. We saw particular strength in Atlanta, D.C., New York, Seattle and Toronto markets. This is the first meaningful increase in revenues over the last four quarters and our largest bookings quarter since the acquisition. Also, Switch and Data-adjusted EBITDA margin approximated 48%. The integration of the Switch and Data business should be complete next month and we now expect to realize cost synergies of $22 million from the acquisition. At maturity, we believe the revenues related to Switch and Data assets should generate over $300 million of annual revenue, with adjusted EBITDA margins greater than 50%. Now, looking at EMEA, please turn to Slide 10. EMEA had a strong quarter, with revenues up 4% sequentially or 3% on a constant-currency basis, including a $1.8 million one-off customer settlement payment. As a reminder, EMEA Q4 revenues included a $2.8 million custom installation fee. Normalized EMEA revenue was up 5.2%. Adjusted EBITDA increased to $30.6 million for adjusted EBITDA margin of 37%, an increase of 10% quarter-over-quarter. During the quarter, order in EMEA regions net billing cabinets increased by about 900, reflecting strong bookings performance across many of our markets and verticals. EMEA established price for [indiscernible] cabinet equivalent is firm and we continue to win strategic customer deployments over many markets and many verticals. Interconnection revenues increased 8% quarter-over-quarter and remained at 4% of the region's recurring revenue. Also, we added 340 cross-connects in the quarter, lower than last quarter, approximately due to customer migrations in Switzerland. We remain pleased with the level of interconnection and exchange port activity in the region. We continue to see strong demand in Amsterdam, Frankfurt, London and Paris as we advance and scale our business in each of these markets. We see positive growth in our financial vertical with non-banking customers and in our cloud and IT services vertical. Including today's announcement of our Frankfurt-2 Phase 3 expansion, we now have sizable expansion projects underway in each of our big core markets in this region. And now looking at Asia-Pacific. Please refer to Slide 11. In Asia-Pacific, revenues improved 6% sequentially and 4% on a constant-currency basis. Adjusted EBITDA was $23.2 million, up 24% sequentially, reflecting strong revenue growth and lower cost of revenues and SG&A spend in the quarter. Cabinets billing increased by $330 million over the prior quarter and overall unit pricing remained steady. MRR per cabinet increased 2% on a quarter-over-quarter basis and up 16% year-over-year, largely due to increasing interconnection revenues and favorable currency trends. Interconnection revenues in the region increased 8% quarter-over-quarter and now represent 12% of Asia-Pacific's recurring revenues. During the quarter, Asia-Pacific added 823 cross-connects. Now, looking at the balance sheet here, please refer to Slide 12. Our cash and investments balance approximates $457 million, a decrease over the prior quarter, largely due to the transfer of cash to our restricted cash account associated with the Paris 4 [PA4] expansion project and cash used in other construction projects. Our DSO continues to remain low at 30 days. Looking at the liability side of the balance sheet, to date, our total debt approximates $2.1 billion. About half of this debt comprised of convertible debt. Our current net debt leverage ratio is approximately 2.5x our Q1 annualized adjusted EBITDA. We feel that 3x to 4x net leverage is an appropriate target for the business, so We believe we have quite a bit of flexibility on our balance sheet. As we [indiscernible] allocate our capital, our clear priority is to invest in growth with organic and inorganic, assuming appropriate financial returns, yet given the size of the business and the level of the cash generated from our current operations, we'll also be assessing other ways to create shareholder value. One of the ways to create this value is settle our 2 1/2% converts, which are due to 2012 with cash. This will avoid 2.2 million shares of dilution. Besides our 2012 converts, we have an additional 6.2 million shares attached to our other convertible debt instruments that may convert into equity through 2016. Although we have no specific plans related to these two other convertibles, we will further assess how to avoid or limit dilution from these two instruments. Additionally, as we steel the business and drive EBITDA towards $1 billion or greater, this allows us to raise the ceiling on our debt capacity. This will also provide us other opportunities to drive our shareholder returns. And it is worthy to note, when you think about 2011, under our current course and trajectory, we can see our adjusted EBITDA exit the year near $800 million, effectively assuming 3.5x leverage recognizing that we wish to maintain an appropriate level of cash on the balance sheet for strategic and operational flexibility, our net debt capacity could increase to $2.8 billion. Today, our net debt is running at $1.8 billion. So one final point. To the extent that we put incremental debt in the books, you should expect us to focus on straight debt and avoid any equity linked on managing resources. Looking at Slide 13. I have historically said, the cash flow attributes of this business are extremely strong and track nicely to our adjusted EBITDA. This quarter, our operating cash flows were greater than $115 million for the quarter despite the semiannual interest payment for our high yield debt and the funding of our annual compensation and incentive plans. Our Q1 annualized discretionary free cash flow was approximately $330 million. We anticipate that our discretionary free cash flow will continue to trend upwards throughout the year. We estimate our 2011 discretionary free cash flow to be greater than $400 million. And finally, looking at Slide 14. For the quarter, our Q1 capital expenditures were $172.5 million. Also, we invested $15 million for the purchase of the Paris-4 land and building. In total, we were in line with guidance. Ongoing capital expenditures were slightly greater than expectations at $32.7 million, primarily due to success-based customer installations and some new product development CapEx. As a reminder, ongoing capital expenditures includes success-based CapEx, a large portion of which is paid for by the customer. This CapEx trends with the level booking activity and we expect our bookings to increase in the second half of the year. Maintenance CapEx, this is typically incurred to extend or advance end-of-life issues with some of our equipment, reliability and redundancy CapEx. This is CapEx simply used to increase the reliability of an IBX for our customers and efficiency and optimization CapEx. This is a newer bucket of CapEx and the ongoing buckets allocated to drive increased efficiency in an IBX. And it's tagged with an ROI expectation. Let me turn the call back to Steve.
Stephen Smith: Thanks, Keith. Now, I'd like to outline our targeted returns for our expansions and provide guidance for 2011. As a number of investors have asked about our expansion decision process, I would like to reiterate how we determine when to move forward with an expansion project. Each quarter, we compile a fill rate analysis of all of our IBXs, reviewing inventory, bookings and projected demand for that particular region. The decision to proceed with an expansion has to pass three internal gates, which include a regional review, a corporate-level review that includes both the CEO and CFO and then finally, a Board of Directors Real Estate committee approval. Considerations include the analysis of the economic returns, competitive landscape, high clients, bookings, pricing, current and projected fill rates, as well as customer demand. We target a 10-year IRR of 30% to 40% when improving new expansion investments independent of region, which remains unchanged from past expansion projects. Also, we expect to realize a full return of our capital investments within a five-year time period. Our goal is to bring on additional capacity just in time before we run out of inventory in an IBX upon market, assuming it meets our returns target. Slide 15 is a summary of how our investments have performed so far. It is a returns analysis of all organically opened IBXs in the U.S. through Q1 of 2010. For these 21 IBXs, our investment of $1.6 billion currently generates about $670 million a year in revenue, with an average of 75% cash gross profit margin. Ongoing capital expenditures include maintenance CapEx are less than 3% of revenue. This means we are generating $500 million in annual cash gross profit from these assets, generating an unlevered cash on cash return on investment of 32%. And yet, only at 80% utilization. At 95% utilization, these IBXs will be generating an unlevered return of 38%. We are very pleased our investments continue to track with our targeted returns range. Now, let's move on to our second quarter of 2011 guidance on Slide 16. Although we will be consolidating ALOG in Q2, we are not including it in current guidance and we'll provide more details on the July earnings call. For the second quarter of 2011, we expect revenues to be in the range of $376 million to $378 million. Cash gross margins are expected to be approximately 65%. Cash SG&A expenses are expected to be approximately $76 million. Adjusted EBITDA is expected to be between $166 million and $170 million. Capital expenditures are expected to be between $220 million and $240 million comprised of approximately $40 million of ongoing capital expenditures and $180 million to $200 million of expansion capital expenditures. For the full year of 2011, we expect total revenues to be greater than $1.525 billion or 25% growth. Total year cash gross margins are expected to range between 65% to 66%. Cash SG&A expenses are expected to be approximately $315 million. Adjusted EBITDA for the year is expected to be greater than $685 million. Adjusting now to 2011 capital expenditures. with announced expansions in Chicago, Frankfurt, Paris and New York IBXs, momentum in our ecosystems and fill rates going into 2012, we are deploying additional expansion capital in both EMEA and the Americas for 2012 growth. We are also evaluating projects in our existing key markets around the world where our momentum and fill rates are also strong. With these additional expansions in mind, I'd like to now provide a full view of our anticipated expansion capital for 2011. This reflects our best thinking on our actual spend in the year for projects we both announced and are contemplating in our expansion roadmap. As a result, we are raising our expected expansion capital to a range of $500 million to $550 million. We are raising our ongoing CapEx to approximately $115 million as a result of success-based, CapEx-type strong bookings and installations, as well as initiatives around energy efficiency and IBX optimization. This brings our total CapEx guidance for 2011 to a range of $615 million to $665 million. These investments reflect the confidence we have in our momentum and go-forward opportunity. They will now provide the capacity to support greater than $2 billion in revenues, which we are now targeting for the year of 2013. In closing, our business has performed extremely well and we are in a strong competitive position. We are scaling the business to target Global growth in markets that meet our returns criteria and having inventory in our market is crucial to meeting customer demand. Whether it's in mobile, video or IP traffic, Internet growth is propelling demand for Platform Equinix and positioning us to grow our customers to be able to operate and win on a Global basis. The bottom line is that we see the opportunity to become the preeminent leader in the industry and we are seeing the demand to make this happen. And have decided to continue to invest to support that agenda. The $2 billion revenue target is simply the near-term milestone in our longer-term opportunity. But let me stop there and open it up for the call. Back over to you, Susan.
Operator: [Operator Instructions] The first question is from Chris Larsen of Piper Jaffray.
Christopher Larsen - Piper Jaffray Companies: Thanks. First question for Keith. You had a sequential decline in your operating expenses despite the fact that you added a bunch of cabbies and brought on a new facility. You mentioned a little bit about salary. What else drove that lower OpEx, sequential decline in OpEx? And then secondly, in the notes, you had something about a restructuring charge and that was different, called out different than the acquisition cost. What specifically was that?
Keith Taylor: Okay, Chris. So Q4, like anything, when we gave our guidance off the Q4 call, we said that at the time it was roughly $300 million of SG&A. We knew that the expansions were going to be a little sort of somewhat flattish through 2011. That all said, when we go into specifically Q1, you got $1.5 million of rebates and refunds, specifically around the tax rebate in Silicon Valley, so we got a recovery of roughly $1 million. But we also get occasionally rebates from the power utility provider given certain programs that we have in place. So that was $1.5 million of benefit. So just couple that with the fluidity of when and where we spend our repairs and maintenance programs and expenses associated with that, gives you a sense that you can have a little bit of movement in any given quarter. When it comes to the restructuring question that you have, the biggest issue though that we -- well, [indiscernible] biggest issue. We have one asset that continues to have effectively a restructuring charge attached to it. And that's an adjacent building to our New York- 2 property. And so that ebbs and flows every quarter and anytime that we have to revisit our assumption, any adjustment to that liability goes through the restructuring line because that's where it was originally classified. So if you go into our 10-K or our 10-Q, you'll see that there is roughly a $5 million or $6 million, I think it's $5 million to $6 million restructuring charge. It still sits there and we get paid out over time. And so it's the adjustment for that assumption.
Christopher Larsen - Piper Jaffray Companies: Excellent. And then question for Steve, EC2 [ph] had some problems over the weekend, Amazon's EC2 [ph]. What are the long-term implications of that? Does that change anything, whether it's customer demand? Is it accelerated, decelerated? Do you have any thoughts on what the implications of that might be or if you seen anything from customers as a result of that?
Stephen Smith: Well, not yet, Chris. And as you can imagine, we've been talking about it quite heavily, as I'm sure everybody is that's in the middle of this space. But not surprising to us with the amount of volume they have that they're going to be the first people running into new technical issues. Our understanding was the software upgrade that has some issues. It was completely unrelated as probably everybody knows in this phone call to any of the deployments in our data centers. That had nothing to do with what we were doing. They're deployed in several of our centers. So it was a software issue. With the scale and volume they have, I'm sure they'll work through that. They're a very important customer to us and we're there to help them figure that out where and when we can. So I don't think at this point, it's our belief that it's way too early for us to think that this is going to slow down the pace of cloud or -- I think it's just part of the growing pains of a new technology.
Christopher Larsen - Piper Jaffray Companies: Thanks, that's very helpful. Thank you.
Operator: Next, we have David Barden of Bank of America.
David Barden: I guess two questions. I guess, Keith, if I could, mostly related to guidance. Number one, I guess looking at the normalized number 4Q to 1Q, looks like we had about a $13 million EBITDA increase, the midpoint of second quarter guidance is a $6 million increase. In order to get to the $6.85 kind of EBITDA number, it feels like we see a slowdown to $4 million of sequential EBITDA growth relative to a history that's much stronger than that. So based on what you guys talked about record bookings, et cetera, it seems like you're teeing up a very kind of meet-able year even though I think every single estimate on Wall Street is below that number. So if you could kind of just talk to that, that would be helpful. And then the second question would be, I think you've talked in the past about the conviction that revenue can accelerate in '12 versus '11 because of the expanding portfolio and the sales people. Your first quarter annualized revenue growth rate was about 20%, the Street's looking for 15%. Could you talk about where you see the potential disconnect there? Thanks.
Keith Taylor: Great questions. I think what's most important, Steve alluded to it a little bit, we are investing very heavily in the sales. So when you think about it from a cost perspective first, we have not yet -- we're still absorbing and we will meaningfully absorb in Q2 and Q3 the full impact of all of our new sales programs. And that includes, of course, the individuals that all the programs to get attached to those sales people. And so recognizing that we have to figure out exactly how that's all going to time out how we're making [indiscernible] from that, we give you the guidance that we want to still be a greater than number. So we gave you greater than 6.85. Now it's fair to say though, when we look to the back end of the year and I sort of alluded to in my comments, we see the back end of the year being meaningfully -- we see an uptick in the back of the year and it's really, you should start to take hold or take root, if you will, in Q3 and really accelerate in Q4. And we had a great first quarter, a very good Q4 last quarter, but great first quarter. We're setting ourselves up for a nice Q2. But you got to recognize that some of that revenue had not yet installed, and that's why we made a comment on backlog. And so it's important, as you think about the year, we're setting ourselves up to have a big 2012. And if we exit at the rate roughly that we think we can, we have a meaningful step up in not only the numbers that Steve would be expecting on an EBITDA basis but you're also going to have an impact on what revenue would look like. And again, it's going to tie directly into that sort of Q4 and of course more specifically that December exit rate this year. But we feel very good about the numbers we're giving you today and we'll continue to refine that as we get more and more data and we have more time under our belt.
Stephen Smith: I'd add a point David that, to Keith's point, as you guys know, we've been pretty clear, I think, on the fact that we're trying to get this done, the hiring done, by Q2. And the productivity of these additional sales heads, we're also hoping to be able to be a little bit quicker than that typical nine-month productivity cycle we've seen in the past. So we're bringing people in by industry vertical, they're very knowledgeable of the business, they're learning very quickly and a key to success is, we'd like to some productivity out of this sales engine as we get to the fourth quarter. But as I stated in my comments, this is really aimed at 2012, 2013.
David Barden: Okay, that's great, guys. Congrats. Thanks.
Operator: Next, we have Frank Louthan of Raymond James.
Frank Louthan - Raymond James & Associates, Inc.: Great, thank you. Can you give us a little bit more color on the stake in the Brazilian assets, give us some revenue and some other metrics? And then looking forward, what sort of further investment are you looking to make down there? Is there just expansion of their existing data centers or does it give you an -- major opportunity to do some greenfield builds?
Stephen Smith: I'm sorry, we sort of lost that little bit on your question. Could you repeat the question please?
Frank Louthan - Raymond James & Associates, Inc.: Yes, just looking at the Brazilian assets. If you could give us a little bit more color on the revenue and some of the metrics there. And then going forward, where do you see, from an expansion standpoint -- do you see expanding those data centers just give you a platform to jump into some greenfield builds? Or what sort of further thoughts in Brazil?
Keith Taylor: Again, a great question. Although as you know, we just closed the transaction this week. Clearly, they're already expanding in the third data centers that we expect to open in the not-too-distant future. So that's really the first phase of future expansion. But certainly the second piece is, that incremental to that expansion property, you can add a lot more [indiscernible]. So we can certainly scale in the Sao Paulo market, so we feel very, very good. It's just a little bit early, given the closing just happened this week, to get into the specifics. But what we really want to do is set up the July call for giving you much more clarity around this acquisition. But clearly, as Steve alluded to, we're very excited by this opportunity and we have a number of customers who already have expressed a strong interest in going to that market with us.
Frank Louthan - Raymond James & Associates, Inc.: And then just one other question. Saw a little bit of outside to ARPU, any particular reason that you're seeing better pricing currently or seeing some improvement?
Keith Taylor: [indiscernible] Seriously, we're focusing on the right customer. I think you've heard us sort of pound the table on this one a lot as of late. We feel very good about the verticals that we're going after. Certainly, when you think about the financial or cloud and IT services, for that matter, network, no matter which vertical you look at, just making sure we're getting the right deployment in the right sort of data centers or IBXs. So from our perspective, having sort of strong intelligence, Jarrett running the marketing organization, giving us a lot of good leads and sort of linking that back into our key verticals, gives us the confidence for going after that right customer at the right price point. So I'll tell you it's more about focus. But we also got to recognize, as I said, when you think about the Switch and Data assets, which are now going to be fully embedded in the Americas region. There's some low-pricing markets and there are some higher-pricing markets, and so what we are going to really focus on is getting the right price point given the market that we're serving or the vertical that we're in. And so our confidence today is just really about focus and knowing that we have good solution for many customers.
Jarrett Appleby: I could build on that, Keith. Interconnection growth is driving as well. I think customers came for the network effect, coming to connect the networks. But our big growth now is financial, connecting the financial enterprise, the cloud. It's the community or the platform effect that we're really heading. That's showing off in the interconnection numbers and it's helping us with the ARPU as well.
Stephen Smith: Generally, pricing strength tends to follow ecosystem targeting. So wherever we're deep into an ecosystem, we're generally going to have strength. And so that can vary by market. So if you're in an ecosystem and you're doing exactly those interconnections that Jarrett pointed to, we're going to tend to have some less price sensitivity.
Frank Louthan - Raymond James & Associates, Inc.: Great, thank you.
Operator: Next, we have Clay Moran of Benchmark.
Clayton Moran - The Benchmark Company, LLC: A couple of questions. First, on M&A, just wanted to get your updated thoughts now that Switch and Data is integrated and doing better on expansion through acquisition, do you still, for the favor, just doing the one-off data centers or would you look at something more sizable? And can you give us a sense of where private market values are today? And then secondly, more of a technology question, just wondering what you think the effect of modular data centers and the Facebook open data center has on the industry and on Equinix?
Stephen Smith: This is Steve. Let me play start off and then Keith can add some color here. From an M&A standpoint, our position is unchanged in that we're continuing to scale in the critical regions. And again, we feel like we're in a pretty strong position in the Americas, the Brazil decision's been at the top of our list for some time in terms of the market. Our European and Asian teams are continuing to look in a couple of markets in each of those parts of the world. And so, smaller bolt on, [indiscernible] like -- Brazil-like type opportunities that are opportunistic are probably closer to the sweet spot today. The more digestible, the more manageable and that's where our focus has been. It's not to exclude that there might not be an opportunity for a larger transaction some day. But our focus right now is to put ourselves in markets where there's customer demand, where there's ability to put our differentiated value proposition to work and be able to extend beyond our reach. Do you want to add anything on the product market values?
Keith Taylor: In the end-user [indiscernible] market values, clearly there's certainly a lot of private equity just getting into the space. In some cases, they're paying a relatively high multiple. But we can't focus on that. We're really focused on running our business and getting the right economic return for the investment, whether it's through an organic build or whether through an inorganic bolt-on acquisition. We're comfortable that we as a company will focus on the returns that are important part for our shareholders to get, particularly out of that shareholder base.
Stephen Smith: And in terms of the modularity theme, very, very important, our technical teams have been tracking and watching and working with modularity for quite some time. I would tell you, in some of the new builds that we're doing now, Silicon Valley and New York, there's modular design built in to those for additional power when and if needed. We're obviously paying attention to the new announcements in the market. We have relationships with many of those companies today. Our technical teams spent time with them. So it's an important factor and it's probably the biggest issue that our CTO organization is paying attention to. We're not unfamiliar with what Facebook or IO [ph] or any of the other players are doing. Our folks are very familiar with all of these activities. And so there's good relationships there. They have good customer relationships with us. We have a pretty open dialogue with them on a technical front. And so it is an important trend. We're paying very close attention to it.
Clayton Moran - The Benchmark Company, LLC: Okay, thank you.
Operator: Next, we have Jonathan Schildkraut of Evercore Partners.
Jonathan Schildkraut - Evercore Partners Inc.: I guess I'd like to start with the sales force hiring. I think over the last couple of quarters, Equinix has been out there looking to kind of ramp the sales force. And I know that our last quarter we thought that much of this would be done in the first quarter. So I was wondering if you might kind of take us through some of the challenges you've had and maybe scaling the sales force to a level you want? And then maybe some color on the success that you've had thus far with the people you have brought in to the team?
Stephen Smith: Sure, Jonathan. I'll take that. We knew that it was going to take up a little bit of time to screen for the right talent that we were looking for and we hired a professional services firm to do that for us. So much of the time in late Q4 and early Q1 was focused on screening and interviewing. We've interviewed thousands of candidates for these roles. So we've got a funnel effect just like we do on our pipeline. And so we're in the mode now of hiring. And we've got great start in the first quarter and the order of magnitude with the changing quota-bearing sales count that we're roughly going to add 35 to 40 in the North American market, call it 20, give or take, in Europe and somewhere in the eight to 10 range in Asia. So that's the order of magnitude and we're well down the path. We will wrap it up in Q2. And very excited about the talent we're bringing in, Jonathan. It's going to change the game and raise the profile of the sales force in this company. We're going to go build the best sales force in the industry, in our industry. So we are really excited about the level of talent bringing in and, like I said earlier to the previous question, the productivity of these people we believe is going to go quicker and the end result is we believe we're going to have one of the most knowledgeable and capable sales engines in the market.
Jonathan Schildkraut - Evercore Partners Inc.: Are these coming from other players in the space? So most of these people are coming over with relationship database and experience in the space or they coming in from tangential kind of markets, or kind of fresh out of school? I mean what are you really targeting?
Stephen Smith: No, these are experienced sales people that have carried a bag, have been successful in other companies. They're coming in by industry verticals. So they're coming in with a knowledge of customers in those verticals. And their ramp time is very, very quick. So they're familiar with the Data Center business, they're familiar with network, they're familiar with our value proposition and that's why I think we're going to see a quicker connectivity of these folks and a quicker productivity. So we're pretty excited about what's happening. I've met -- most of them, we're bring them in here for a week when we first -- the first week we bring them on. And our entire leadership team is exposed to them and we have a lot of energy and momentum around that. So pretty exciting. And our Global Account programs have been completely staffed at the management level and we're attacking our biggest, most sophisticated Global accounts in a much different fashion than we have in the past.
Jonathan Schildkraut - Evercore Partners Inc.: Great. I have a question about churn. We were all looking for churn, I think, to come down this quarter. It did come down 10 basis points. And certainly, when we talk to players in the space, we hear that the company is, Equinix is doing a good job or better job kind of retaining customers and I was wondering if you could kind of take us through how churn turned out in the quarter relative to your expectations and maybe where there's some variance. And then, some color on the relationship between pricing discounts versus customer loss embedded in that churn number.
Keith Taylor: Let me take the first part, Jonathan. I would tell you that, again, I was looking at the averages and like anything, we plan our churn at summertime. We plan the bookings and we look debt numbers. And sometimes, something will happen that will come to a quarter that will come out of another quarter. Overall, we actually feel very confident and I tried to sort of work that into the script that we feel confident, although maybe sort of a 0.1% or 0.2% higher than we originally expected this quarter that for the year, we seem to be looking very, very good. And part of it's because we're focused on trying to maintain the customer. There's customers as you know, and I'll talk about it a fair bit, that will bifurcate or will do other things in some cases as consolidation. And we're working with the customer to try to mitigate as much as possible a loss of revenue. So our focus as a team, and this is on a Global basis, but in particular in the Americas that is making sure that we work very closely with the customer not to churn. So we remain quite confident that the next three quarters are going to be better churning quarters for us. But it is, I have to tell you though, it is lumpy. And sometimes, it's going to fall into, if you will, the last month of the quarter versus the first month of a new quarter. And we have to deal with that. But where possible, we'll make sure that we've guided to it. But we feel good about our churn position right now.
Jonathan Schildkraut - Evercore Partners Inc.: Have you made any changes to your compensation plans relative to the sales force in order to sign up renewals and things like that?
Stephen Smith: Yes. We've been doing that consistently Jonathan. We're doing that for a lot -- we have a lot of incentives cross-border, churn reduction and, yes, the simple answer is, we've got pretty sophisticated incentive programs around the world that do all of that.
Operator: The next question is from Jason Armstrong of Goldman Sachs.
Scott Goldman - Bear Stearns: It's Scott Goldman on for Jason. Two questions, I guess. Looking at some of the data you provided on the same IBX information, if you kind of compare that to what you guys laid out back at the analyst day, it looks as though there's might have been a slight drop off in utilization, but at the same time, you've actually seen this same IBX revenue growth accelerate. So I wonder if you can maybe provide a little bit more information about sort of what's going on those same IBXs that allows you to grow or accelerate revenue growth in the face of maybe slightly lower utilization. And just in the context of that utilization, what's going on with the churn. And then secondly, maybe you could just comment a little bit about what we saw in the European cross-connects. It looks like there was a little bit of a drop off in terms of the number of cross-connects added this quarter versus the very healthy run rates you've been running at for the last few quarters. So just seeing if there's anything there that we should be thinking about. Thanks.
Keith Taylor: Good question, Scott. I think if you take the highest level, the reason that you see the numbers vary a little bit from what we did in the analyst day in what we did, I think was on the Q2 earnings call last year, is now that we're looking at it from anything prior to Q2 2010, we brought in new assets. And because of those new assets, we have one asset was publicly dead, it's not performed as well as some of the other assets at our LA4 property. It has a large cost basis. When you put that into the numbers, it has an impact. And all that we're excluding today, you see that probably on the bottom of the page from a sizable perspective is our D.C. stakes. There's Silicon Valley-5 and sort of the last two phases of New York-4 for all intents and purposes. So I feel very good about the numbers. We feel very good about where we are from a utilized [ph perspective. Because we're bringing in some of those, some additional assets. But you also now are seeing the revenue capacity and the margin potential of those assets. So that's when I feel -- don't think churn's a big issue on this one. Certainly, it's an umbrella issue for all of our revenue activity. But churn per se, as it relates to this analysis, hasn't really impacted in any meaningful way.
Stephen Smith: Scott, I think the only thing I'd add is, I think your point to that last bullet on the slide where you see the percent growth has gone up since we talked to you at the analyst day, I think a percentage point or 2. And it's really underpinned as Keith is suggesting by interconnection growth, power growth, the typical volume stuff that we see that helps the revenue growth. That's what you're seeing in the growth in those older IBXs.
Scott Goldman - Bear Stearns: Great. And on the European cross-connects?
Keith Taylor: So generally, as you can appreciate, cross-connects move the ebb and flow. And as I said, this quarter was a little bit lower than we saw in the prior quarters. But part of it is just to due to migration. We moved some customers into some of our new data centers. And so when customers move to new data centers, at times there can be a lot of pruning. And so what you're seeing there is some pruning activity. But overall, when I look at sort of March exit rate of cross-connect activity, and looking into sort of the first part of Q2, it's back to sort of its normal level. So it's more fundamental to adjust the migrations that took place as customers needed to scale their business and move into newer and more power advanced environments.
Scott Goldman - Bear Stearns: I'm sorry, what was that?
Keith Taylor: There were important customers who were cross-connect heavy.
Scott Goldman - Bear Stearns: Okay, great. Thanks, I appreciate it.
Operator: Next, we have Gray Powell of Wells Fargo.
Gray Powell - Wells Fargo Securities, LLC: Thanks for taking the questions. I just had a couple. So with Savvis and Terremark being acquired by larger telcos this year, do you think that creates any temporary disruption or I guess I should take any temporary opportunity for you to gain share against a potentially distracted competitor? And then longer term, how do you think these deals impact the competitive environment?
Stephen Smith: This is Steve. I'll take that. It's a good question and it's obviously relevant with all the financial services consolidation and the telco consolidation. And we have a couple of thoughts here in the leadership team. One, generally speaking, we consider all of this to be a sign of the good health as these industries continue to evolve and provide value-added services to their customers. So we believe that this is for the long-term health of the market and creates opportunities for us. So the bottom line for us is, we think it's going to create opportunities for us. We find ourselves in a very good position today and we're quickly becoming the only network-neutral global player that is positioned to help all these ecosystems that we continue to talk about in cloud, electronic trading, mobility, video, Internet. And so we like the position we see. Quite frankly, the 2011 CapEx is a reflection of our belief in this opportunity. So generally speaking, we like the position we're in, we like the fact that we're scaled and reached to be able to satisfy all of these consolidations that's going to go on. And the growth is so strong from all these secular trends that it's going to outstrip any concern we would have in customer grooming or taking away a business from us. It's a very large market we're playing in. It's growing very fast. Our offering is very differentiated. We like where we're sitting today.
Scott Goldman - Bear Stearns: Got it. That's very helpful. Thanks. And then just another question. And just kind of looking at your statistics, it looks like your average customer typically has like 11 cabinets, or call it 40 kilowatts of power. That's very squarely a retail customer. Can you just talk about what percentage of your bookings typically come from larger deals, say over 200 kilowatt-type deals? And then obviously, you guys had a big cabinet addition number in the Americas. Was that just like general strong demand or you did possibly do, like, one or two larger deals?
Stephen Smith: Generally, Gray, I would tell you that the overall trend is that larger deals are going down and that's generally driven by the fact that we're very industry vertical-focused. We're very ecosystem-focused. We're very focused on interconnections-type deals. A sweet spot of our size deals is a much smaller footprint. When you get up into the 200 cab or 200 KW-type size deals, you are starting to creep into where some of the wholesale players could participate. And we will occasionally been in that zone if it's a strategic deal and it's critical to an ecosystem. But more and more, what we're seeing is we're evolving the sales force. We're focused on a much more different part of the market and our value proposition is focused on a smaller deployment than lots of them.
Gray Powell - Wells Fargo Securities, LLC: Got it. Thank you very much.
Operator: Our final question comes from Simon Flannery of Morgan Stanley.
Simon Flannery - Morgan Stanley: I wonder if you could just review the CapEx guidance rates in a little bit more detail. I think you explained last quarter the rigorous quarterly process you go through looking at your fill rates and your projected demand and just talk about what really were the key elements driving this. And how can we feel like you sort of bounded this for the year and that this is, you got enough of a buffer to make sure that this is really as high as it's going to go? And what does this imply for 2012? Are we likely to go back to a much lower number in '12 or we may stay at an elevated number if the demand trends you're seeing continue? Thanks.
Stephen Smith: Thanks, Simon. Good question. First of all, our view we presented to you today in our guidance is our best full year view. It's our best intelligence about what 2011 will look like for the company. And it was really underpinned by four key projects since we last spoke to you. The New York, Chicago, Paris and Frankfurt decisions are sizable decisions. You can look at that expansion sheet, tracking sheet that we post. We're also seeing very, very good bookings and fill rate and pipeline in Amsterdam and in our D.C. market. So we've got a lot of activity going on in the big critical key markets that really is the underpinning assumption underneath this. It does reflect the tremendous growth and vitality that we're seeing in our targeted ecosystems. For example, in New York, at our New York-4 asset, we're 92% committed today. That's a very large facility as you all know and underpins the decision for the next build. And as I think Keith mentioned in that Metro, that has become our largest interconnection market globally. Let me see, another one might be in our Frankfurt market, where we house a very large, the largest matching engine in that country. Just demonstrates the strength of the financial ecosystem there in the hundreds of members that are connecting to that. So it really is market-by-market driven, quarterly fill rate analysis-driven. We have very good cabinet fill rate in North America this quarter, over 2,000 as you saw. I'm not sure historically, that may be one of our strongest quarters historically as a company. So yes, these quarterly reviews, we're still going through the same level of rigor. We're still building in phases so we provide maximum flexibility for ourselves. But we, as I stated in my closing, we see a very large opportunity to really become the preeminent leader in our space and we see the demand to underpin it and we've made the decision to pursue that agenda. And that's where we're headed.
Simon Flannery - Morgan Stanley: Any thought on '12 at this point?
Keith Taylor: Some of the investments that we're making right now, Simon, the cost will go into '12. But overall, it's a little bit early. But it's fair to say that we are making a big investment this year and they are strategic. A lot of big assets will come online in the 2012 time period and I remain confident that we'll continue to have the same level of focus on any future expansions, as Steve noted.
Operator: Mr. Smith, do you have any additional comments?
Stephen Smith: No, Suzy. Thank you very much and thank you for all the participants on the call. Thank you for your time and we'll end it here.
Operator: Thank you. At this time, you may disconnect. The call has ended.